Operator: Good morning, ladies and gentlemen and welcome to the Altius Minerals Q3 2024 Conference Call and Webcast. At this time, all lines are in a listen-only. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Friday, November 8, 2024. I would now like to turn the conference over to Flora Wood. Please go ahead.
Flora Wood: Thank you, Mike. Good morning, everyone, and welcome to our Q3 conference call. Our press release and interim filings were released yesterday after the close and are available on our website and on social website. This event is being webcast live, and you'll be able to access a replay of the webcast, along with the presentation slides that are on our homepage and on the Investor page. Brian Dalton, CEO; and Ben Lewis, CFO are our main speakers on the call, and will be available in the Q&A. The forward-looking statement on slide 2 applies to everything we say both in our formal remarks and during the Q&A. And with that I'll turn over to Ben to take us through the numbers.
Ben Lewis: Thank you, Flora. Good morning, everyone. Royalty revenue for Q3, 2024 was $16.6 million, compared to $17.8 million in Q3, 2023. Revenue and adjusted EBITDA for the quarter, reflects higher base metal prices, higher dividends from iron ore and growth of the renewable royalty portfolio, partially offset by lower potash prices and lower coal revenue due to the closure of the Genesee mine. The Mineral Royalties segment had an EBITDA margin of 69% in Q3, 2024 compared to 76% last year and was impacted by higher professional fees associated with the silicone arbitrations. Q3, 2024 adjusted operating cash flow of $10.9 million compares to $11.0 million in Q3 last year. The timing of interest, corporate tax payments and refunds positively impacted adjusted operating cash flow during the current quarter. Net earnings of $3.2 million or $0.06 per share compared to net earnings of $3.5 million in Q3 2023. The decrease in net earnings reflects lower revenues, lower amortization, which was partially offset by marginally higher costs. Q3, 2024 adjusted net earnings of $0.05 per share is consistent with the third quarter of 2023 and includes minor adjustments for derivatives and foreign exchange. ARR reported its Q3 2024 results on November 5 and details can be found on ARR's website arr.energy. ARR is also approaching the special meeting date of November 19th for its take-private transaction, which is expected to close in late November. An affiliate of Northampton Capital Partners, LLC is expected to purchase all outstanding common shares of ARR for $12 per share, not owned by Altius Minerals. After the close, Altius Minerals will own approximately 57% of ARR. I'll now turn to capital allocation and liquidity. During the quarter, the corporation amended its credit facility to extend the term from August 2025 to August 2028, and replace the combination of its previously outstanding term and revolver debt. The total available credit of $225 million and its principal repayments are consistent with its previous facility, and we did not draw any additional amounts at this time. The amended credit facility consists of CAD50 million term credit facility, US$36 million term credit facility, and a $125 million revolving credit facility. During the quarter, we made our regularly scheduled debt repayments of $2.0 million, paid total cash dividends of $3.9 million and issued 12,389 common shares under the corporation's dividend reinvestment plan. The corporation also renewed its normal course issuer bid, which commenced August 22, 2024 and will end no later than August 21, 2025. We did not purchase and cancel any shares in the third quarter. However, we have expended $10.7 million on a year-to-date basis, on the buyback. The Board of Directors also approved a $0.09 quarterly dividend, that will be paid to shareholders of record on November 29, with the payment date of December 16, 2024. Our liquidity consists of $25.6 million in cash at the end of Q3, and we have $116 million in unused revolver room on our amended credit facility. ARR held cash of US$ 62.1 million plus has additional capacity under GBR's debt facilities with sufficient room to fund its commitments and to continue to pursue new investment opportunities. And with that, I'll turn it over to Brian.
Brian Dalton: Thank you, Ben and thank you everyone for joining us again. I'd start today with base and battery metals. We currently have three royalty projects, nearing construction completion and/or an early ramp-up. These are the Eastern Deeps nickel, copper, cobalt mine and the Tres Quebradas and Mariana's lithium mines. Also during the quarter, early construction works began at the El Domo copper gold mine. Looking a little further out, we heard from Lundin that they continue to be excited about the exploration work ongoing at the new Saúva discovery within their Chapada district scale lands and are now completing a scoping study. Resource growth overall at Chapada, has continued steadily since our acquisition in 2016 and this has led Lundin to studies to evaluate its overall expansion possibilities. It is also worth noting that Lundin has had positive results in optimizing the existing Chapada mine plan, and reducing operating costs while also guiding towards a strong fourth quarter production expectation. Turning now to potash, where global demand has returned to levels predicted by long-term compounding demand growth trends, and we'll set a new record this year and likely another next. Nutrien also noted relatively more limited near-term competitive supply growth globally, while commenting on their own ability to continue to feed into incremental demand growth on a highly competitive basis. Similarly, Mosaic has recently increased nameplate capacity levels at the Esterhazy mine through ongoing incremental investments and initiatives. This supports our own long-standing view that production rates across our portfolio, continued a steady compound in accordance with global demand growth for the foreseeable future. As these have done over the past 10 years since we acquired these very special royalties. Altius Renewable Royalties continues to ramp up its revenue profile, as new acquisitions start to contribute and as existing development stage projects continue to advance and commission. It also continues to be encouraged by upward revisions to power demand forecasts across many of the key investing regions. And as Ben noted, during the quarter, ARR announced a go-private transaction. That is expected to see Northampton Capital to acquire all of its shares other than those held by Altius Minerals at a price of $12 per share. This represents a significant premium to its trading range over the past considerable, while and the transaction proposal has been endorsed by the majority of its public shareholders and positive voting support agreements. The transaction is expected to close later this month. In recommending the transaction, ARR noted that its cost of and access to public equity capital was not supportive of its potential growth opportunities. Through Northampton and its investors, the business expects to gain access to deeper longer-term focused and more attractively priced pools of capital. IOC continued to progress its efforts to achieve improved operational stability while continuing to invest meaningfully in growth initiatives. That are focused particularly on serving the expanding market for high purity IRR products. Forest fires in the area, hampered production during the past quarter, but did not cause any significant damage to facilities or infrastructure and normal operations since resumed. Champion continued to advance permitting activities for the Kami project while also commenting on ongoing negotiations with potential strategic industry progress for the project. It also reiterated its view, that's certainly, a view that we agree with, that the market is poised to require meaningful new supplies of the ultra-high purity products it plans to produce from the project. As a large number of new electric arc furnace-based steel plants, continue to be constructed throughout the world at the expense of the traditional blast furnace fleet that has typically been more reliant on lower-quality iron ore products. At Silicon, we noted the reporting a further strong drilling results from the high-grade core of the Merlin deposit as AngloGold Ashanti continues with its large-scale delineation drilling program there it also stated its expectation to release a pre-feasibility study for the project by mid- to late next year. Meanwhile, we continue to await the results of arbitration proceedings that took place earlier this year to determine the full extent of our royalty rights relative to the district scale land position that AngloGold has consolidated in the region. It is worth noting that the area is hosting to Silicon and most of the Merlin deposits are not on a dispute between the parties. Following receipt of the arbitration results we will continue to evaluate our strategic alternatives for this increasingly important gold hroyalty. That concludes my remarks. I'll turn it now over to any questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Orest Wowkodaw. Your line is now open.
Orest Wowkodaw: Hi. Good morning. Brian, I was wondering, if you can give us more details on the current process around the silicon your plans there and the arbitration. And I'm just curious what sort of options are you currently entertaining on this? Obviously, very high-value royalty. I'm wondering, if you can just run through the alternatives and if you're leaning a certain direction at this point in terms of either a sale or asset swap or what direction you're going?
Brian Dalton: Maybe I'll start with the end a little bit. I think the direction or goal will kind of be guided more or less by the process but the range of options is pretty wide for us right now. It could include at one extreme a fulsome sale of the asset. There's certainly quite a bit of interest and amongst the precious metals royalty companies in a royalty on an asset of this type. So, we'll certainly hear that out. We've been utterly clear that one opportunity that we would certainly look towards, if we were going to go the sale route would be to take back non-precious royalties for our portfolio either, as full or partial consideration that would have some appeal for us. And the other alternative quite frankly is to simply add silicon as a long-term component of our own portfolio. I mean, I know, we're not focused on precious metals and haven't been, but that largely relates to not being that interested in precious metal royalties from an M&A perspective. And that is a function of what we perceive our relative cost of capital to be compared to those we will be competing with in those situations. But this isn't like that. This is a royalty that's come up through our PG system and maybe, while some of the precious metal groups are cautious around having too much non-precious metal exposure in their portfolios the inverse isn't true. So really it just comes down to a question about where the highest and the best use for this royalty say, like where is the best value for our shareholders going to be realized. Is it within Altius? Is it external and will be kind of guided by what interest is out there as we run a bit of a process once we get through the arbitration? That's been the...
Orest Wowkodaw: Sorry. Brian just on that point, so is the process basically in a holding pattern until you have a decision on the arbitration, is that the way this is going to play out?
Brian Dalton: Yes. We have had I guess indicative interest expressed to us. And from that we kind of know who's most interested, but really until the arbitration is sorted, it's pretty hard for anyone to come to something more definitive. So that really is the precursor that we -- before we go any further here.
Orest Wowkodaw: Okay. And obviously the arbitration has been going on quite some time now. Any visibility at all on when we could expect the decision?
Brian Dalton: Unfortunately no, it's not in our hands. I mean, the hearing was for April, I believe, early to mid-April in that period. And that was preceded by lots of submissions by both parties but there's a -- it's in hands of the arbitrators now. And we patiently wait for the result.
Orest Wowkodaw: Okay. And could that drag into next year? Or should we be anticipating something by the end of the year?
Brian Dalton: I really don't have any insight or guidance to that. It's in their hands. They'll make their decision when they make their decision. But I just don't know.
Orest Wowkodaw: Okay. Thank you.
Brian Dalton: It could be tomorrow.
Orest Wowkodaw: That's helpful. Thank you.
Brian Dalton: Sure.
Operator: Thank you. Your next question comes from the line of Craig Hutchison at TD Cowen. Your line is now open.
Craig Hutchison: Hi. Good morning guys. Thanks for taking my question. My question is on the Northampton acquisition like to take private transaction for the public float. I understand obviously your comments in terms of access to deeper more attractive pools of capital from the perspective of Altius Renewables, but are there certain benefits that you guys see from beyond that from the Altius Minerals perspective? And I guess what we're getting at is there a potential once the deal closes and you guys can maybe reduce your position within Altius Renewables to maybe use those proceeds to buy other royalties. Thanks.
Brian Dalton: I think from a Minerals perspective going forward not much really changes, I mean, when ARR was public and proposing investments and then looking to raise capital Minerals would have evaluated those opportunities. And in the case where it did raise equity Minerals did take up it's pro rata rights. But again, I mean, really there's no requirement for that, -- for Minerals to do that then and there wouldn't be going forward, so it's really going to be pretty situational, I think it will be your function of its own liquidity its own efforts around balancing its portfolio and those kinds of things. So it's pretty hard to predict that way. To be honest with you Craig it'll be situational.
Craig Hutchison: Okay. And maybe can you just speak to the more, broader market here for M&A in terms of you guys positioned to acquire new royalties. Is it really tough right now just given where metal prices are? Are you seeing opportunities if you are -- kind of give me what commodities you guys kind of looking at and what stage of development are you guys looking at?
Brian Dalton: I wouldn't call it particularly active out there, but there are a few opportunities that we've got going through the system right now and it will be within our more traditional commodity areas. So, across the existing kinds of commodities that we're exposed to today. There's a few opportunities I would say. It's not overly active. I guess the theme of the day is M&A amongst the operators and at the later-stage developers. That can shake some assets or bring people to the market looking for capital to support that kind of work. But at least in the things we've been looking for. Not a lot yet, not as much as you'd even expect to be hones with you.
Craig Hutchison: Appreciate it guys. Thanks for taking my questions.
Brian Dalton: But I will add again it's not the driving focus of our business right now. And I went through in the prepared remarks here, just a sheer number of projects within our existing portfolio that are being developed and/or being made subject to studies around expansion. So I mean this is that part of the market where things are getting a little more constructive where for us the key elements of growth we'd expect are going to be more organic from existing assets within the portfolio. I mean that doesn't mean our minds are close to potential opportunities and silicon process we just talked about might have some implications in that regard. And I guess my main point is that, we feel really comfortable with how this business will evolve and grow organically going forward irrespective of what the M&A market looks like.
Craig Hutchison: Great. I appreciate the additional color.
Operator: [Operator Instructions] At this time we have no further questions. I'll turn it back over to the presenters.
Flora Wood: Thank you, Mike. Thank you Craig and Orest for your questions. Good to see you. And thank you to everybody who joined us on the Q3 call. We'll look forward to speaking to you in the New Year.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.